Operator: Good morning, everybody, and welcome to the AudioCodes First Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Roger Chuchen, Investor Relations. Roger, the floor is yours.
Roger Chuchen: Thank you, operator. Hosting the call today are Shabtai Adlersberg, President and Chief Executive Officer; and Niran Baruch, Vice President of Finance and Chief Financial Officer. Before we begin, I'd like to remind you that the information provided during this call may contain forward-looking statements relating to AudioCodes' business outlook, future economic performance, product introductions, plans and objectives related thereto, and statements concerning assumptions made or expectations as to any future events, conditions, performance or other matters are forward-looking statements as the term is defined under U.S. federal securities law. Forward-looking statements are subject to various risks and uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. These risks, uncertainties and factors include, but are not limited to, the effect of global economic conditions in general and conditions in AudioCodes' industry and target markets, in particular, shifts in supply and demand, market acceptance of new products and the demand for existing products; the impact of competitive products and pricing on AudioCodes and its customers' products and markets; timely product and technology development, upgrades and the ability to manage changes in market conditions as needed; possible need for additional financing, the ability to satisfy covenants in the company's loan agreements, possible disruptions from acquisitions, the ability of AudioCodes to successfully integrate the products and operations of acquired companies into AudioCodes business; possible adverse impact of the COVID-19 pandemic on our business and results of operations. The effects of the current terrorist attacks by Hamas and the war and hostilities between Israel and Hamas, and Israel and Hezbollah as well as the possibility that this could develop into a broader regional conflict involving Israel with other parties may affect our operations and may limit our ability to produce and sell our solutions. Any disruption in our operations by the obligations of our personnel to perform military service as a result of current or future military actions involving Israel; and other factors detailed in AudioCodes' filings with the U.S. Securities and Exchange Commission. AudioCodes assumes no obligation to update this information. In addition, during the call, AudioCodes will refer to non-GAAP net income and net income per share. AudioCodes has provided a full reconciliation of the non-GAAP net income and net income per share to its net income and net income per share according to GAAP in the press release that is posted on its website. Before I turn the call over to management, I'd like to remind everyone that this call is being recorded. An archived webcast will be made available on the Investor Relations section of the company's website at the conclusion of the call. With all that said, I'd like to turn the call over to Shabtai. Shabtai, please go ahead.
Shabtai Adlersberg: Thank you, Roger. Good morning and good afternoon, everybody. I would like to welcome all to our first quarter 2025 conference call. With me this morning is Niran Baruch, Chief Financial Officer and Vice President of Finance of AudioCodes. Niran will start off by presenting a financial overview of the quarter. I will then review the business highlights and summary for the quarter and discuss trends and developments in our business and industry. We will then turn it into the Q&A session. Niran?
Niran Baruch: Thank you, Shabtai, and hello, everyone. Before I start my formal remarks, I would like to remind everyone that in conjunction with our earnings release this morning, we will post shortly on our Investor Relations website an earnings supplemental deck. On today's call, we will be referring to both GAAP and non-GAAP financial results. The earnings press release that we issued earlier this morning contains a reconciliation of the supplemental non-GAAP financial information that I will be discussing on this call. Revenues for the first quarter were $60.4 million, an increase of 0.5% over the $60.1 million reported in the first quarter of last year. Services revenues for the quarter were $32.6 million, up 3.4% over the year ago period. Services revenues in the first quarter accounted for 54% of total revenues. The amount of deferred revenues as of March 31, 2025, was $81.3 million compared to $80.5 million as of March 31, 2024. Revenues by geographical region for the quarter were split as follows: North America, 48%; EMEA, 34%; Asia Pacific, 14%; and Central and Latin America, 4%. Our top 15 customers represented an aggregate of 52% of our revenues in the first quarter, of which 36% was attributed to our nine largest distributors. GAAP results are as follows: Gross margin for the quarter was 64.8% compared to 64.4% in Q1 2024. Operating income for the first quarter was $3.6 million or 6% of revenues compared to operating income of $3.3 million or 5.5% of revenues in Q1 2024. EBITDA for the quarter was $4.6 million compared to EBITDA of $3.8 million for Q1 2024. And net income for the quarter was $4 million or $0.13 per diluted share compared to net income of $2.1 million or $0.07 per diluted share for Q1 2024. Non-GAAP results are as follows: Non-GAAP gross margin for the quarter was 65.2% compared to 65.2% in Q1 2024. Non-GAAP operating income for the first quarter was $5.4 million or 8.9% of revenues compared to $6.3 million or 10.5% of revenues in Q1 2024. Non-GAAP EBITDA for the quarter was $6.2 million compared to non-GAAP EBITDA of $6.7 million for Q1 2024. Non-GAAP net income for the first quarter was $4.7 million or $0.15 per diluted share compared to $5.2 million or $0.17 per diluted share in Q1 2024. As of -- at the end of March 2025, cash, cash equivalents, bank deposits, marketable securities and financial investment totaled $95.7 million. Net cash provided by operating activities was $13.5 million for the first quarter of 2025. Days sales outstanding as of March 31, 2025, were 107 days. During the quarter, we acquired 500,000 of our ordinary shares for a total consideration of approximately $5.2 million. In December 2024, we received court approval in Israel to purchase up to an aggregate amount of $20 million of additional ordinary shares. The court approval also permits us to declare a dividend of any part of this amount. The approval is valid through June 14, 2025. On February 4, 2025, we declared a cash dividend of $0.18 per share. The dividend in aggregate amount of approximately $5.5 million was paid on March 6, 2025. Regarding recent tariff headlines, we have not observed thus far any material changes to our revenues or business activity. Addressing the direct cost impact from tariffs announced since the beginning of 2025, we estimate approximately $3 million additional cost burden for the full year 2025 or approximately $4 million annually on a run rate basis. Note that these estimated amounts do not consider price increase actions we have taken across the affected product lines. Given the fluidity of the tariff situation and associated macroeconomic uncertainty, we have decided to withdraw the previously provided annual guidance. We plan to resume the practice of providing an annual outlook once the tariff rates are finally determined. I will now turn the call back over to Shabtai.
Shabtai Adlersberg: Thank you, Niran. I'm pleased to report solid first quarter performance with healthy growth in key business lines, putting us on track with our long-term transformation to a cloud voice software and services company. All in all, first quarter 2025 was fairly successful in our journey to turn the company focus to AI-powered voice services. With continued good business momentum in our enterprise operation in UCaaS and CX and the growing maturity of AI and more specifically GenAI and conversational AI technologies, we believe we are building a sound and strong voice services business expanding partner and customer base and leading towards growth and growing profitability in coming years. What was unique and quite a new development in the quarter was the fact that we were successful in triggering interest of several large leading global system integrators in our conversational AI business voice services who now evaluate them for performance and potential deployments within their customer base. We continue to execute on our strategy and focus mainly on two key strategic initiatives. First one is to keep growing our connectivity business, which provides roughly 95% of revenue. It is a mature business, providing above 15% operating margin and presents steady long-term growth. Second one is the investment and growth in our conversational AI initiatives and AI-powered voice services, which demonstrated strong customer interest activity in the quarter. It should be noted, though, that while we enjoy success in gaining new conversational AI opportunities, it takes time for this opportunity to translate into actual growing recurring revenue. Therefore, while we grew just above 10% year-over-year in the quarter, we still maintain our target for this sector to grow 50% for the full year as these opportunities get mature and translate into revenues and associated products get more mature and effective and then allow us to translate those opportunities into revenues. Touching on some of the highlights of the connectivity business from first quarter. On the enterprise UC and CX business performed according to plan and accounted for 90% of revenues in the quarter, highlighted by ongoing strength in the Microsoft business, which was up 7% year-over-year. Side-by-side with our success in the Microsoft Teams ecosystem for UCaaS, I'm glad to report that we made progress in certifying our solution for the Cisco WebEx Calling Cloud Connect environment. With Microsoft holding above 40% market share in the UCaaS market and Cisco, a second strong runner up holding about 25% market share, we believe we are expanding the potential for the connectivity business, which should start contributing in the second half of 2025. I'll touch more on that later on. Our CX connectivity business increased 2% year-over-year in the quarter. We have seen healthy pipeline supporting continued positive outlook for 2025. Our conversational AI business grew above 10% year-over-year. More impressing is a growing pipeline and rate of new wins and bookings of new opportunities, which continue to grow at a very healthy rate. Turning to performance of our services. Overall services accounted for 54% of revenue and grew 3.4% year-over-year. The slower growth in services this quarter from fourth quarter 2024 levels is largely attributed to timing of professional services project completion. With services, our Live managed services year-over-year growth remained robust, up roughly 25% year-over-year to end the quarter at $67 million annual recurring revenue. With regard to our Live managed services, we expect to significantly increase the attractiveness and efficiency of our solutions and their deployments by completing the integration of our advanced GenAI-based business voice application into the Live platform in the second quarter. Historically, our Live managed solutions were often sold on a siloed basis, requiring additional manual steps to add an area of additional services. As such, once the Live platform integration is completed in the second quarter, we further expect growth of these AI-powered services to be enhanced in the second half of 2025 by impending launch of this unique next-generation platform. As we are not aware of other competing platforms, which integrate connectivity solution four of the leading UCaaS vendors such as Microsoft Teams, Cisco Webex, Genesys and Zoom with market-leading business voice application, we believe we will gain nicely in the market with this advanced platform. Ahead of the launch, we have shared our vision and provided demonstrations of the new platform to existing and prospective global system integrators and service provider customers, and the feedback has been overwhelmingly positive. The benefits of adopting this all-in-one service platform are clear, offering simplicity and cost savings to our partners and improved customer experience to the end users. We already have several of our existing partner customers who are lining up to integrate our value-add solution into their offering as soon as the next-generation Live platform is available. Now to the whole issue of tariffs. Switching to our next topic regarding tariff headlines that has triggered uncertainty about global growth prospects. Towards that end, we have not observed any significant change in customer buying patterns thus far. Customer conversation and deals continue to progress as usual. On the actual impact and cost, the tariff impact in the first quarter came at about $350,000. We are closely monitoring developments in this area and have already taken steps to mitigate the impact of the remainder of 2025 by working to move parts of our manufacturing out of China to other countries for which the tariffs are lower. For the second quarter of the year, we estimate the tariff related cost impact to be approximately $750,000. For the full year 2025, we estimate a total of $3 million to $4 million cost burden. As we continue to make progress in shifting our business to software and services, the impact from tariffs on hardware part of our portfolio will continue to diminish. For perspective, in the first quarter of 2025, hardware accounted for roughly 30% of revenues, down from 45% in 2020, which was the first year we launched our Live managed services. As presented earlier on the call by Niran, given the fluidity of the tariff situation and associated macroeconomic uncertainty, we have decided to withdraw the previously provided annual guidance. We plan to resume providing an annual outlook once the tariff rates are finally determined. Before turning to detailed business lines discussion, let's quickly shift to profitability metrics. Our non-GAAP gross margin for the quarter was 65.2%, within our long-term target range of 55% to 68% with flat performance over the year ago quarter. Gross margin and profitability came lower than planned due to a combination of three factors: the impact of the new tariffs, increased investment in R&D and product development in the emerging conversational AI line and then due to less favorable mix of products. In the first quarter, non-GAAP operating expenses rose to $34 million, up from -- I'm sorry, $32.9 million in the year ago quarter. The year ago increase in expense is primarily linked to enhanced investment in conversational AI and our expenses on marketing and sales as we focus our initiative to lead the AI-powered voice services business. In terms of headcount, we ended the quarter with 962 employees, an increase from 946 from the prior quarter and 959 in the year ago period. Adjusted EBITDA for the first quarter was $6.2 million, reflecting 10.3% margin comparing to $6.7 million or 11.2% in the first quarter of 2024. Lastly, we again demonstrated a strong cash flow generation with net cash from operating activities reaching $13.5 million for the quarter. This robust cash flow generated supports our capacity to keep investing in and expanding our business moving forward. Now to the Microsoft environment. Regarding our strategic business segments, as previously noted, Microsoft Teams business grew 7%. We have also performed well on the new projects front, where total amount of created opportunities in the Microsoft space grew about 6.5% as compared to the year ago quarter. As to annual recurring revenues, we ended the first quarter with annual recurring revenues of $67 million compared to the year ago ARR, which closed at $53 million. Total contract value signed in the first quarter reached a level of $18 million, growth of about 5% compared to the year ago quarter. In terms of representative contract win in the quarter, fresh of landmark win and initial purchase order within a major state university with over 50 campuses discussed last quarter. We received additional orders in the first quarter totaling over $1 million. This amount represents the second wave of commitment of additional schools as part of the master agreement signed with the IT administrator. Over the coming quarters, we would expect more campuses to come on board as well as potential Voca CIC cross-sell. Long term, with Teams Phone users representing a small fraction of the 320 million Teams daily active users, we remain enthusiastic about the potential for ongoing penetration gains of Teams Phone voice seats. Now to the new development with Cisco Webex Calling. In November 2024, Cisco has launched its Cloud Connect Enablement program for service providers, similar in functionality to the Microsoft Operator Connect Accelerator program. Cisco is targeting significant migration from legacy BroadSoft-based systems and other on-prem or all centralized IT telephony solution to Webex Calling, which is its most advanced UCaaS solution positioned to compete with Teams and Zoom. Unlike Microsoft Teams and Zoom, Cisco has a very large installed base via global service providers. According to discussion held, we believe that Cisco forecasts above 15 million subscribers -- new subscribers migrating in 2025-2026 period. AudioCodes was selected to be one of four enablement partners. We estimate internally that this opportunity may contribute to total contract value of about $5 million in the next three years. We expect to expand our success with the UCaaS connectivity area by offering Cloud Connect Enablement capability for Cisco Webex Calling during the course of the third quarter with the expectation that selling few millions in the coming 12 months. Now moving to Voice AI business, starting with Voice AI Connect. We had a strong quarter across all key metrics. We saw first quarter revenue growth supporting our full year target of growing 30%. This milestone was supported by a high number of new logo wins in the U.S., Europe and Asia Pacific and significant expansions in installed base. We believe the strength is attributable to several factors, including our superior SBC and voicebot technologies and then ongoing customer interest of large enterprises in using voice as a natural interface to automate inbound calls from customers. To that last point, our Voice AI Connect solution would be a natural fit for these enterprise customers as it future-proofs their investment in this fast-evolving AI landscape. The reason is that our technology enables customers to seamlessly adopt or scale various conversational use cases like agent assist, voicebots, et cetera, and then leveraging our prebuild integration to all major evolving bot framework, speech-to-text and text-to-speech, meaning customers can preserve their investment in what they have acquired and integrated from AudioCodes and then move on with any new LLM or speech-to-text solution that appears in the market. Based on these factors, while demand for agent assist and voicebots has already been healthy, we may be on the cusp of another step function increase in demand. This quarter, a large Tier 1 financial institute that initially purchased a small number of sessions to support agent assist use case placed a high 6-figure follow-on order, expanding the availability of AI-enabled transcription to cover over 5,000 agents. Importantly, we foresee further expansion of agent assist and potential addition of voicebot use cases with this customer. In addition to large enterprise customers, we are also seeing robust growth from smaller end customers and partners serving them, brought on by our Live Hub self-service portal. Exiting first quarter, Live Hub annual recurring revenue grew roughly 150% versus the year ago quarter. So we're talking about continued growth all around. Now to Voca CIC. We achieved healthy bookings in the first quarter, consisting of several large strategic enterprise customers. Our message of complete Teams Calling and Contact Center Solution is clearly resonating in the market amidst the, UC and CX consolidation trend. We grew nicely both on the booking side and the revenue side. At the same time, we've been able to capture the attention of several large strategic partners, which has more than 15 new opportunities in its pipeline. The number of partners thus keeps growing quarter after quarter. One deal I would like to highlight in the quarter is the contract signed with a system integrator for replacement of their legacy IVR with our next-generation conversational IVR for a Tier 1 BPO customer, servicing one of the largest sales insurers and customers in the U.S. We won this deal against a major premium CX vendor, not just on the merits of our technology, but on the speed and execution of our service delivery. We successfully ported the customer to our IVR in just three weeks versus standard implementation time line of three to four months. This strength is coming from both our direct sales efforts and growing contribution with global system integrators and channels. At Enterprise Connect this past March, we held a joint session with AT&T Business, working through the Tier 1 system integrators white labeling of Voca in delivering successful business outcomes for a number of large enterprises. To top off, we landed an initial contract win in the first quarter with a top five global business consulting firm, which should pave the way for additional future engagement opportunities. What could further fuel our momentum is the recent support of Microsoft Teams Phone extensibility, a standard that leverages Azure Communications Services to seamlessly integrate the Teams Phone UC interface for contact center. I would like to remiss if I haven't highlighted it before that Voca CIC was among the first to select Microsoft Azure ACS architecture and technologies, which formed the foundation for the Teams phone extensibility, a standard that we have co-authored. This validates our vision and acknowledge of our expertise on how to best optimize the Teams CX experience. Overall, the broad-based strength in the first quarter and positive leading indicators give us confidence in achieving our target of growing bookings by approximately 50% in 2025. Now to Meeting Insights. First quarter has been another growing -- solid growing quarter for Meeting Insights, both operationally and in product development. Number of meetings grew close to 100% quarter-over-quarter. The number of total proof of concepts and accounts grew 55% quarter-over-quarter with new proof-of concept growing more than 30% over the previous one. Use of GenAI prompts, the number of GenAI requests growing dramatically comparing to the last -- to the year ago where the number of meetings using GenAI to generate unique recaps has grown almost 300% and keeps growing on a monthly basis as we add more sophisticated prompts to the mix. We also launched an Intelligent Meeting Room solution. This was launched in January. We integrated Meeting Insights technology into our video conferencing systems, enabling automated meeting summaries for both in-person and remote participants. This innovative solution garnered significant customer interest at ISC in Barcelona and Enterprise Connect. Now to our new announcement a week ago of a very unique industry, I would say, industry-first solution that's Meeting Insights On-Prem. That product targets security and sensitive environments. Meeting Insights On-Prem uses AI to assist the organization in regulated and security-sensitive industries by automatically producing secure, accurate and efficient meeting recaps without the use of cloud services, meaning the solution is completely detached from the Internet and thus allows full privacy and security. Just to touch on what makes this solution unique. First, it's a comprehensive centralized platform. Basically, it's a secure location for all meeting data, ensuring easy access and retrieval. Then it's an on-premises solution. This solution can be installed on local servers, eliminating the need for Internet connectivity or cloud services and offering greater control and security. We talk about customization of AI, advanced AI combined with a built-in SLM engine that's installed locally, enables highly accurate transcription, customized summaries and actionable insights tailored to the specific organization needs. Then we have a language and jargon customization, advanced editing tools, automating task management. Clearly, a very complicated, very comprehensive solution. We feel we are substantially ahead of any other player in the industry. And thus, we believe that this solution will be fairly attractive. Just to give you some idea about what has been achieved so far. So the solution has been deployed in the first quarter. Right now, we have close to five deployments functional already in Israel. Sectors that would be interested in that solution includes government, defense, finance and health care. And at this stage, we have a pipeline of close to 20 new opportunities, and it's growing on a weekly basis. We just started out getting out of Israel. As we mentioned, we announced the product about a week ago. And now we start to go internationally initially to the U.S. and the European markets. To wrap up, in the first quarter of 2025, we continue to make solid progress in our long-term transformation to a cloud and voice services company. with increased focus on AI-powered voice services. All in all, we made nice progress in our business. While achieving our revenue target, our gross margin and profitability came lower due to a combination of the impact of the new tariffs, increased investment in emerging conversational AI line and due to a less favorable of mix products. We are operating from a position of strength, supported by a fortress balance sheet, a dominant connectivity franchise and a conversational AI segment that enhances productivity. These strengths should resonate well with partners and customers in any market environment. We believe these factors position us well to navigate the potential macro turbulence over the balance of 2025. And with that, I've completed my presentation, and I'll move the session into the Q&A.
Operator: [Operator Instructions] And we have a question from Joshua Reilly from Needham & Company. Joshua, your line is live. Please go ahead.
Joshua Reilly: All right, well thanks for taking my questions here. Maybe just starting off on the tariff impact. Do you plan to take proactive steps to move some of the manufacturing out of China? Or do you plan to wait until you hear what the kind of maybe final tariff rates, if that is possible to know, come out before you take the proactive action on moving manufacturing out of China? And then along with that, can you just give us a sense of how you're thinking about price increases if the tariff rates do not come down?
Shabtai Adlersberg: Yes. Actually, I think I've mentioned this on the call. We do plan to move -- actually already took steps to move part of our manufacturing -- majority of the manufacturing out of China to other countries. Some of we do -- our main manufacturer is Flextronics. Flextronics has got manufacturing plants around the world. We plan to move them into other countries in Asia Pacific and also part of the manufacturing to Israel. All in all, we do plan to make these moves in the course of the next three to six months. We believe that by taking these steps, we will lower substantially the impact from the tariffs from potentially without any such action, that would have come to an impact of between $10 million to $12 million. But now taking these steps, we now foresee a burden of about $3 million to $4 million.
Joshua Reilly: Understood. Got it. And then if you look at the Microsoft ecosystem, I guess, what trends are you seeing in terms of Operator Connect versus direct routing? And can you just give us a sense of how if customers choose one versus the other, what your relative business opportunity is?
Shabtai Adlersberg: Yes. So generally, it's really -- you need to look at the time line. SBC direct route came first, and therefore, all the large enterprises use that to connect. With the advent of Operator Connect, we see transition in the market towards Operator Connect, which we believe will ultimately become the governing way of connecting SBCs. So it's a market that's growing, relatively mild growth, but still Operator Connect will probably become the winner in that area.
Joshua Reilly: Got it. And then last question for me is just on the Cisco opportunity. How do you plan to -- you mentioned, I think, $5 million in total contract value opportunity for you to go after here in the next year or so. How do you plan to manage the go-to-market dynamics for that opportunity? And maybe just a more strategy around how you're going to plan to win those opportunities.
Shabtai Adlersberg: Right. Well, we are working in the service provider space for many years now. So therefore -- and we have ongoing project with them. So -- and what works for us, and I've mentioned that we have a few competitors there. I think the brand, the vast deployment. I mean, we're working all around the world. Actually, I can tell you that as we completed certification for EMEA, I think we are facing already, I was told a day ago already two opportunities in the U.K. So we believe that with our -- being in the service provider world, known and brand for other things, we definitely will gain. And the fact that the other competitors are relatively smaller in size, which gives us an advantage in becoming the preferred solution provider.
Joshua Reilly: Understood. Thank you.
Shabtai Adlersberg: Sure. Thank you.
Operator: [Operator Instructions] And there are no further questions in queue at this time. I'd now like to turn the floor back to management for closing remarks.
Shabtai Adlersberg: Thank you, operator. I would like to thank everyone who attended our conference call today. With continued good business momentum in our enterprise operations and good underlying market growth trends for conversational AI in the UCaaS and CX markets, we believe we are transitioning the business towards growth and growing profitability in coming years. We look forward to your participation in our next quarterly conference call. Thank you all. Have a nice day.
Operator: Thank you. This does conclude today's conference call. You may disconnect at this time, and have a wonderful day. Thank you once again for your participation.